Operator: Good day and welcome to the InterDigital First Quarter Earnings Conference Call. Today’s conference is being recorded. At this time I would like to turn the conference over to Mr. Patrick Van de Wille. Please go ahead, sir.
Patrick Van de Wille - Vice President, Communications and Investor Relations: Good morning everybody and welcome to InterDigital’s first quarter 2013 earnings conference call. With me this morning are Bill Merritt, our President and CEO and Rich Brezski our CFO. Consistent with last quarter’s calls we will offer some highlights about the quarter and the company and then open the call up for questions. Before we begin our remarks I need to remind you that in this call we will make forward-looking statements regarding our current beliefs, plans and expectations which are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those set forth in our earnings release published today as well as those detailed in our Annual Report on Form 10-K for the year ended December 31, 2012, and from time-to-time in our other filings with the Securities and Exchange Commission. These forward-looking statements are made only as of the date hereof and except as required by law, we undertake no obligation to update or revise any of them, whether as a result of new information, future events or otherwise. In addition today’s presentation contains references to free cash flow, a non-GAAP financial measure. A schedule setting out a reconciliation of free cash flow to net cash provided by operating activities, the most directly comparable GAAP financial measure is included at the back of our earnings release issued today, which is also been posted in the Investor section of our website at www.interdigitial.com. And with that I will now turn the call over to Rich Brezski, Chief Financial Officer.
Rich Brezski - Chief Financial Officer: Thank you, Patrick. There is been a lot of activities since we last spoke. Some of that activity including the cost of litigation and arbitrations and the contributions of revenue and cash flow from new and renewed license agreements is reflected in our first quarter financial results. On the other hand subsequent to quarter end we received a $30 million Arbitration Award from one of our patent licensees that is not reflected in our financial results and will not be until collectibility is reasonably assured. For accounting purposes we generally expect that to occur either one we receive the cash or our licensee expresses an intention to comply with the award. To be clear the recent Arbitration Award relates to a patent license agreement. For several quarters we’ve discussed an arbitration related to a technology solutions agreement with a different party. We have not yet received the decision in that arbitration although we expect one could come at any time. Through March 31, 2013 we have deferred approximately $48 million of revenue nearly all of which has been collected related to the underlying technology solutions agreement. Putting aside the arbitration result we’re pleased to report strong free cash flow and revenue and operating expense excluding litigation and repositioning that were in line with the expectations we communicated back in February. For the first quarter of 2013 our revenue was $47.4 million, our net loss was $12.3 million or $0.30 per diluted share or $0.21 per share after excluding a non-cash investment impairment and our free cash flow was $71 million. Moreover we are pleased that our voluntary retirement program enabled us to lower the trajectory of our spending and make room for new investments including development services to our Convida Wireless joint venture with Sony. Because of the related party nature of the joint venture we consolidate the results of Convida and we do not take any credit in the revenue line for services we provide to Convida. Instead we now present a line on our income statement to back out the after-tax portion of our consolidated earnings that relates to our partners in Convida. Moving on you may note that we have a high effective tax rate for the quarter at 47%. Even after excluding discrete items recognized in the quarter our effective tax rate would still be about 45% substantially higher than our historical norms. The primary driver for this change is the mix of income included in our projected effective tax rate for the year. For this purpose we generally limit our royalty projections to existing agreements including some expectations surrounding related arbitration or audit results. We may also include a conservative amount for new deals, but for accounting purposes, it is difficult to sport any expectations of income resulting from litigation, regardless of how confident we maybe. As reflected in our first quarter results, our revenue from patent license royalties, which carry a lower overall tax burden and technology solutions revenue has declined. We expect our effective tax rate will return to the lower levels we experienced in recent years once we sufficiently expand our revenue from patent license royalties. Finally, we are just beginning to receive our royalty reports from our customers’ first quarter sales, which contribute to our second quarter revenue. Although, we have not yet received a report from Blackberry, we have been encouraged by mostly solid reviews for the Z10 rollout, representing the first LTE phones licensed under that agreement. And we look forward to rollout of the Q10 over the next month or so. We will provide revenue guidance for the second quarter, once we have received and reviewed the applicable order reports from Blackberry and our other pre-unit licensees. And now I’ll turn the call over to Bill.
Bill Merritt - President and Chief Executive Officer: Thanks Rich and good morning to everyone. As we reported in the earnings release this morning the quarter came in as expected. We generated cash, but there will be impact of the Samsung rollout on the revenue side, but not as much given the new license with Sony. We also saw the benefit of the restructuring on the expense side, but also made a significant investment in litigation which overall drove the expenses up. We also made some strong moves in terms of our enhanced strategy, but did not sign any large patent license agreements though progress was made. So well I’m happy with the quarter strategically, I also understand that a loss is a loss, but that’s not something we’re looking to repeat. Let me start with my more detailed remarks by talking about litigation given the – high level of investment there. The quarter thought us involved in an extraordinary level of litigation activity including the evidentiary hearing for our ITC case involving Nokia, Huawei and ZTE, hearing in our federal circuit appeal the ITC’s decision relating to LG. The filing and substantial kick-off of our new ITC case against Huawei and Samsung, ZTE and Nokia, the ramp up of the federal district court cases related to that new ITC case as the defendants chose not to stay those cases. Hearing in an arbitration involving the scope of – on one of our patent license agreements and miscellaneous other arbitrations seeking to collect money odd. And successful some of the cases can drive immediate and substantial revenue as well as ongoing revenue, others can drive new renewed license agreements all in they can drive the business substantially this year, which is why we’re making such a significant investment. Let me begin with our arbitration since they tend to get less attention that can be extraordinarily beneficial. The third set of arbitration is those were we directly see payment from the other party. We saw one such case last week when received a $30 million award and there were license agreement per sale with licensed products through second quarter of 2012. We moved to enforce that award which is carrying 18% interest and we’ll also work with that licensee to get its future payment of royalties to comfort with the award, with success the award will drive revenue in the quarter and which we developed substantial comfort that we will be paid and we’ll also drive strong incremental revenue in subsequent quarters. We also had an arbitration relating to one of our technology solution agreements where we have been paid out 40 million by the customer but under protest. Our objective in that arbitration, which we feel very confident about is to confirm the appropriateness of most – or all of those payments allowing us to recognize significant revenue in the quarter in which we receive the award. We should then also record ongoing revenue from that customer sale of products. Those few arbitrations alone, which account for over $70 million in added revenue this year excluding ongoing revenue, and therefore certainly a worthy of investment by us. In addition we have similar but smaller arbitration seeking the payment of monies under license agreements again where we have a very strong position, so that these arbitrations can also drive incremental revenue. And second type of arbitration does not directly tied to monies, but instead to licensing opportunity. LG is an example of such a dispute with a now claim remarkably, well they have a fully paid up license for 3G. We so invested in that case during the first half of the year both in the Arbitration Proceeding and at the Federal Circuit. We continue to believe very strong in our position and when indicated will have the opportunity to license LG its suppliers or where LG is supplied by one of our existing licensees, collect royalties from that supplier. We have another dispute with the licensee as to whether they have patent license extent beyond certain product classes. Again we’re convinced in the merits of our case as supported by the actual language of the agreement and like LG if we prevail that we believe we will, we will have the opportunity to negotiate with the licensee the extension of its license to these products, seek licenses with the suppliers or collect royalties from any supplier that are already InterDigital licensees. Both of these opportunities could be very significant to the company and therefore a worthy investment of our time and money. So, that’s the arbitration environment. It’s a reasonable level of expense averaging approximately 2 million per quarter driving what we believe can be substantial gains. During the first quarter, we also spent considerable time and money on our ITC cases. For the case involving only Nokia, we are waiting for the ITC to determine the procedural process going forward. We and the ITC Office of Unfair Import Investigations Staff are in agreement that no further evidence needs to be taken and that the Commission can decide the remaining issues including the appropriateness of an exclusion order. As a reminder, the ALJ in this case stated in its opinion that an exclusion order was appropriate should the ALJ turnout to have been wrong on the infringement issue and we believe that he was. Moreover Nokia chose in this case not to raise a fair and defensive trial so our view is that the case is very straightforward. It’s also time for a decision. Nearly six years after we commenced the action and having prevailed on three instances in federal appeals court in terms of the arbitrability of the patent license issues with the Second Circuit found Nokia had to wait claim constructions about which the Federal Circuit found that InterDigital was right and the satisfaction of the domestic industry standard, which again the Federal Circuit found in our favor we believe InterDigital is entitled for the relief it seeks. Beyond this case though the fact that our patents had withstood this extensive process confirms the strength of our inventions involved in the case. Through the ITC case against Nokia, Huawei and ZTE, we had significant costs for those cases in the quarter related to the evidentiary hearing. Our case went in very strong and we continue to believe that we are right on the issues being fought in the case but the fight is serious. For that reason, it requires extent - significant resources but there is little dab as to the importance of these cases, as our success should drive the opportunity for settlement on fair and reasonable terms with supplier that collectively have nearly 30% market share globally. Further, we commenced in January 2013 a new ITC litigation against Samsung, Nokia, Huawei and ZTE this time including both 3G and 4G LTE patents. Again there is little dab for the value of this case as it involves companies that collectively account for more than 50% of the worldwide handset market. The costs on this case are higher than normal as the party’s have not stayed the companion federal district court cases so they are running concurrently with the ITC action. The ITC action is scheduled to end much sooner however with the trial later this year and a decision from the ALJ early next year. So, that’s the litigation update and I appreciate it’s a long list. Also read in the backing will make the company appear litigious but we are not, but we do live in the mobile industry, which is has its fair share of contention. However we’re down to the conclusion that litigation is necessarily bad I read an article recently that correctly concluded that the robust – a robust patent litigation environment is not evidence of a market in trouble but is that evidence of a fast moving innovative and lucrative market but company is working feverishly to invent, protecting those inventions and eying for the pole position with the consumer benefiting from better and better products each month I certainly describe the mobile market. And the reason if I had to surface is often no surprise. The amount of money it’s taken these litigations is significant but so the amount of money that and which is I invested in fundamental research related to each generation of mobile technology in use today. In addition to giving users the ability to communicate anytime, anywhere, we along with other wireless pioneers have enabled new businesses that depend on customers being always connected being able to download data in huge quantities and to do so in an efficient manner that enables millions of unit users. So, while there are companies today making billions of dollars from slip devices and applications and we apply them for it. We also need to remind and that the same devices would be doorsteps and the app is just lines of code without the robust wireless networks in which they operate. Sometimes it will be pretty strong reminders, which is especially why we have such higher litigation expense. It’s also why we shaped our strategy last year as we continue to believe that litigation was effective is not the best answer. We have always had great success in reaching patent license agreements without the needs of litigation but as the industry has grown the stacks are grown and sometimes the impetus for folks to litigate has grown and through InterDigital solutions. Before I am just moved on the leadership of the industry veteran Allen Proithis’ last year to further raise the value of the InterDigital offering and to hopefully active the disincentive for protracted litigation, the idea is simple in addition to providing access to our valuable portfolio of patents we will offer access to our boarder set of technologies to our labs and to our engineers. We believe that access and creating an incentive for resolving patent licensing issues versus litigating them. And strategy worked well with Sony as we leveraged not just our patent portfolio but our machine to machine platform, R&D group and our patent management skill before they comprehensive and mutually valuable relationship that offers solve the patent licensing issue. We need similar approaches to others and we’ll continue to do so. Solutions will also build a separate book of business outside of patent license relationships. During first quarter we begin field trials on our Smart Access Manager solutions with a number of top operators. While not a large revenue producing item this year with success we do believe that the same licensing program can provide incremental revenue gains for the business starting in 2014. We also continue to advance our dynamic spectrum management and video solutions to broaden the portfolio of technologies that solutions had to offer both inside and outside patent licensing relationships. Those technology efforts continue to move along at a good pace. Not everything needs to be developed or as best developed internally however which is the reason for the creation of innovation partners. The second prong in our realignment in the fall of 2012. The partners group had a very strong first quarter building those staff and also closing an acquisition of approximately 800 patents and patent applications for $11 million making an investment and creating an ongoing R&D relationship with a very promising security technology company and building a deep pipeline of other patent acquisitions and R&D relationships. In doing so the group marketed what we believe the compelling partnerships arrangement with proven to proven inventors and technologists. The ability to leverage InterDigital’s history and love for innovation, our standard presence and our intellectual property (indiscernible) in an entrepreneurial arrangement with the company and the innovator not only shared the upside but with the innovator has the independence ability to continue to invent shoulder to shoulder with InterDigital’s large group of inventors. We expect continued success from this new group within InterDigital this year and beyond as they broadened our portfolio of innovation. As a last topic I wanted to quickly touch on patent sales. Last year was a strong year as the market was very high. We have seen some softening in the market but we continue to see interest with smaller portfolio. And so we continue to be bullish in terms of the value that we can extract from 4,000 or so patent and patent applications that we have identified for sale, in particular, our large portfolio of infrastructure patent. We have taken the market softening as an opportunity to explore some more creative transactions that could contribute to earnings over the longer period. We have a ways to go we have a number of different options and remain confident that we can put something in place in the coming months. Well, then we are reasonably happy with the quarter from a strategic perspective and more importantly we believe our work this quarter set this up for some strong financial gains for the remainder of the year. Indeed we have consistently increased shareholder’s equity value prior to the return of capital by 35% to 94% per year for each of the last three years. Taken together over the past four years, we are more than quadrupled shareholders’ equity prior to return of capital. Like any business we have our challenges I think these figures speak to our history of successful execution and we feel intend to keep that up. With that, let me turn the call back to Patrick.
Patrick Van de Wille - Vice President, Communications and Investor Relations: Thanks, Bill. And now, Zack, if I could ask you to open the question now?
Operator: (Operator Instructions) We’ll take our first question from Anil Doradla with William Blair. Please go ahead.
Anil Doradla - William Blair: Hey, guys. Can you give us a little bit more color on the 800 patents that you acquired what was the cost metric per patent and what are the areas that you focus on with these?
Bill Merritt: So, a couple of things on the portfolio. It had the very strong category which is important for us in terms of where the patents came from and as a well managed asset. It believed it’s terminally in it but it’s technology that is different than what we have somewhat different than we’ve focused on before. I think it gives us immediate use in licensing programs and beyond also there is a assets in there that we can further develop. In terms of price for patent those numbers sort of down a little bit but what I tell you is I think looking at the market metrics we think it would be negotiated very strong for a very strong set of patents. So very happy with that, that was all.
Anil Doradla - William Blair: Was it a one source acquisition or was it made up across several customers?
Bill Merritt: Yeah it’s one source.
Anil Doradla - William Blair: And on the Sony from if I recall that was $120 deal, can you guys walk us through the impact from the P&L how much of the free cash flow was impacted by that?
Bill Merritt: Yeah so first I’ll tell you that if you look in our 10-Q which we actually filed this morning we list Sony as one of our 10% licensee. So that can help you get a way that the amount of revenue that was recognized as for the cash flow we have started to collect under that agreement which is a fixed-fee agreement that on that we disclosed this specific sum of cash that we’ve collected.
Anil Doradla - William Blair: Okay. And finally I know it’s tough to answer Bill you gave out a detail the list of arbitration and litigation issues what when – when we as investors look at you see your story say in the next to 6 to 8 months kind of near-term what do you think we should be focusing on?
Bill Merritt: I think it’s a couple of things right, certainly the ITC case that is set for a decision in June as a near-term item you know typical with those things that can create some settlement pressure so you know that looks and then obviously the decision itself can be very meaningful. So I think that the nearest-term thing and I think in terms of other opportunity is coming out of the litigation side you know I think the arbitrations I shouldn’t talk about that first because they actually do have some pretty meaningful impact that can come out of that those things and it can come relatively soon. Next I would say the litigation side you know we continue to have good discussions on with patent licensees so they’re harder to predict because unlike an ITC case which as I said base we don’t know when the licensee when we’re done but you know certainly if I were you I’d be looking first to produce license agreements over the next 6 months. And you know with regard to those license agreements I think it would more necessary I think it would be a real plus if you saw the solutions group participate in some of more of those on a more of those agreements but I think it will validate the strategy in using that group to kind of fill economic gaps to create taking a new relationship. So yeah it’s a busy year, we got a lot going on we think it’s a great – year in terms of opportunity for us and if we execute well we can – we can come out of the year real strong, I appreciate we got a lot of them in place.
Anil Doradla - William Blair: Great. Thanks a lot guys and best of luck.
Operator: And we’ll take our next question from Charlie Anderson with Dougherty and Company. Please go ahead.
Charlie Anderson - Dougherty and Company: Good morning, thanks for taking my questions. I want to start off with HTC just got the disclosure on the Q it was up pretty substantially year-over-year the royalties from HTC, had a look at their results in their fourth quarter it was substantially down so I'm wondering was there a change in rate or coverage in HTC?
Rich Brezski: No, no change in rate or coverage I don’t believe they met the 10% qualification this quarter so we didn’t provide this specific amount I would say that is less than 10% of our revenue.
Charlie Anderson - Dougherty and Company: I'm saying 20% actually in the Q.
Rich Brezski: I then perhaps I misspoke.
Bill Merritt: Charlie that is without getting into HTC specifically you know the way royalties can move around inside an agreement should be different by a couple of factors one of which could be whether parties choose to prepay or not because prepaying will be pretty significant so that can move things probably more so than typically than what you see in terms of different rates under that agreement. So.
Rich Brezski: And Charlie you’re correct and it was 20% for the quarter.
Charlie Anderson - Dougherty and Company: Okay, so I mean I would think of this as you’re taking the unit sold in the quarter before and I mean it’s at the that pretty by the book thing and sounds like there could be timing issues around those with I'm just trying to understand – are you taking that more months of units or something here is it’s kind of confusing to me?
Rich Brezski: No there a per unit licensee so as you alluded to our first quarter revenue is based on their first -- fourth quarter sales.
Charlie Anderson - Dougherty and Company: Yeah. A question on Pegatron so you know they manufacture a lot of things, they manufacture for some really big names what is – what kind of devices are covered by the arbitration that you did with them, does it extend out to some of the name brands stuff or is it more of the you know white-label type goods?
Bill Merritt: The license agreement with Pegatron is a broad license agreement covering basically all types of terminal units that would be sold. The issue in the arbitration was dealt with a particular class of products, very happy with that result because I think the result basically confirms our view that anything produced by Pegatron that's not – they will do result and they’re sort or - they’re selling to a unless that product somehow otherwise license without getting into the details of the agreement so. So I think it's a, and a solid result plus one of the reasons why we think it can contribute to future revenue as well.
Charlie Anderson - Dougherty and Company: Lets say they make a iPhone or iPad that's covered by it could Apple go back and say we already paid because of that?
Bill Merritt: I think and we get into the details of who can say what but I think we've certainly cleared up what was claimed to be some – ambiguity under that agreement which we’d ever believe there was. And so I think we've got a very solid position now with respect to that agreement and royalties that are rolled on a product that is not licensed by any other - to any of the party. So what people can claim and other things they can say there is no lack of imagination out there in terms of as you can from some of the arbitration now but I think it was a very, very solid result in terms of making that agreement very clear in terms of what they should be paying on.
Charlie Anderson - Dougherty and Company: Got it. And then the charge that you guys took on the quarter I am just trying to think of things that you’ve invested and could that be maybe like the Pantech equity just say in more detail and that would be helpful?
Rich Brezski: Yeah that exactly is the only investment that really even fits that magnitude back in 2008 or 2009 we received a stock as part of the compensation for the license agreement with Pantech. I think is over $90 million of cash associated with that deal as well and we've collected over half of that at this point in time. The stock was initially valued at $21 million and we've carried it at that level up until this adjustment.
Charlie Anderson - Dougherty and Company: Got it. And then I noticed share based comp jumped in the quarter relative to what I’ve been seeing previous quarters was there any reason for that one-time jump?
Scott McQuilkin: Yeah related to a shift in some of the long term plans from more cash base to equity base comp.
Charlie Anderson - Dougherty and Company: Got it. So that will be the running sort of base going forward?
Scott McQuilkin: Subject to the changes in the whole rate.
Charlie Anderson - Dougherty and Company: Got it, okay thanks Scott.
Scott McQuilkin: Thanks.
Operator: And we’ll take our next question from Mark McKechnie with Evercore Partners. Please go ahead.
Mark McKechnie - Evercore Partners: Great, thanks for taking the question. So, one question I wanted to ask how do you decide to sell versus license your patents kind of what’s your thought process on that?
Bill Merritt: Sure. So a very large portfolio I think we’re back at 20,000 plus patents. And there is only so much you can actually show to the licensee where you get to the point where the incremental patents you’re showing them or not adding any impact on the discussion. And so those incremental patents become one of the classes of patents that we can seek to sell because you’re not getting any value on them to the licensing program module, seek value some place else out if you look at the Intel transaction that's what we do there. So that’s one set of patents second asset set of assets that we have are the infrastructure patents which we have not had an infrastructure licensing program inside the company for a variety of reasons. So, those couldn’t be sold or partnered with folks that create incremental value without impacting at all the terminal unit programs and so that that's what we’re do in there as well. And then third there is like class of assets which don’t relate to ,terminals don’t relate the infrastructure may relate to other aspects of wireless networks where we may not have suspicion depth to run a full scale licensing program and we may not be producing new assets in that area and so that we have what we’re going to have and in that situation we make find people that have those assets and they want to buy them, by a set from us because now they got critical mass or you can partner with them so. The bottom line in any - any sale is the first question we had but (indiscernible), will it have any negative effect on the terminal licensing program and with the assets we’ve identified we could if we can answer that question, absolutely no.
Mark McKechnie - Evercore Partners: That’s okay. It’s a good answer, I appreciate it. And then second is kind of do the change in control like if a company that you’re licensed to get spot for instance I'm assuming IP got access with a licensee you’ve talked about them on the smartphone space a bit I mean would Cisco buying them does that change your license agreement with them or perhaps give you an a door in to Cisco how does that work out?
Bill Merritt: Okay. So what – they were not a licensee and but this I can tell you generally how the acquisition costs were – we don’t compare that they’re highly negotiated provisions in agreement. And it – it will depend a little bit on is it a running roughly payment at the date of agreement things like that but typically what we do is provide if the company post acquisition basically remains intact to the operators of fully-owned subsidiary of the acquiring company then the license agreement will pretty much stay intact. If the asset the company gets merged into the larger company let me have a roll-off provision which because at some point you really can’t identify what were the previous assets and what’s the result for the acquisition so there is we have some sort of roll-off provision. So – and the roll-off provision then does give you the opportunity to assess the products opportunity to some product might give you an opportunity and how the deal would be required to sort of put a broader license agreement in place. So ultimately what you don’t want to happen although you can’t guarantee this that have an acquisition cut off valuable licensing stream, so…
Mark McKechnie - Evercore Partners: That’s it. Okay, great. Thanks guys.
Bill Merritt: Thanks, Mark.
Operator: (Operator Instructions). We’ll take our next question from Ron Shuttleworth with M Partners. Please go ahead.
Ron Shuttleworth - M Partners: Hi, good morning. Thanks for taking my call. Just as it relates to Sony was that a 36 month contract?
Bill Merritt: Yeah, it’s a three year patent license agreement.
Ron Shuttleworth - M Partners: Okay, thanks. I’d like to maybe spend little more time on the patent sale for this it sounds like the market has offend and the expectations of those at least the first 3000 patents you originally talked about the last couple of call do you see those selling over a period of multiple quarters and small lots basically maybe over a couple more than one year.
Bill Merritt: Yeah I’ll tell you Ron sort of on two tracks right. We’ve been marketing smaller portfolios and actually have interest. And in terms of the metrics in terms of price for patent sale license with that they would be solid but and so we continue to make sure those opportunities. I couldn’t really give you a timeframe in terms that we open backup I don’t think we would sell off the 3000 patents that way I think that’s a long process I'm not sure it’s a very valuable process this I think at some point the level of efforts going to so their manageable sales is pretty high. So I think there is some opportunities for smaller sales I think particularly with respect to infrastructure portfolio which I pointed out in the prepared remarks. I think there is a bigger opportunity for both loop. In naked eye there would be an outright sale it can be some sort of enter with somebody else it can be as a variety a couple of other things where the asset moves out of InterDigital’s control but we get the benefit of the revenue derived from that licensing activity. So it’s hard to predict where these things go but I might as I - my guess is you could have a couple of smaller sales but then you’ll probably maybe see a more of a bigger loop on the sale of patents.
Ron Shuttleworth - M Partners: Okay. Are you – I was willing to say for example some of the – some of the folks that you have, have perspective licensers coming up whereas like Nokia for example. Is there an opportunity to use some of those patents that you have up for sale is horse-trading, is that sort of the idea that it have around in your partnership business?
Bill Merritt: It certainly can be, I think they are useful in those discussions, the patents from both sides frankly are useful because they - if you are effective that licensing patents as we are – us getting patents in exchange for as partial consideration is fine and the same is true for partnering side if there is a depth of licensing they’ll view these patents as valuable. So you can so swaps, you can do ventures, I think in those instances you are dealing with mid-size to larger portfolios where we are sort of partnering again I think on the sales side at least what we’re seeing right now you’re dealing in smaller lots.
Ron Shuttleworth - M Partners: Okay. And the last thing about Nokia how are you tying or can you just describe to us how you might be tying for example the six year long litigation herein right now with them against the sort of 3G litigation that you have that named in with the other two parties. Can you just talk about how one affects the other and if it has what the impact would be?
Bill Merritt: There is – there is some linkage between the cases in terms of patent families that are being inserted. And so we had very good success with power ramp-up patents in the first Nokia case as a result of Federal Circuit Appeal those patents from that family in a subsequent case with them. So I think it was halo effect from the first case there. There is I think there is – we tend to be pretty consistent in terms of our licensing position, our FRAND positions and without pointing at any one party I think there has been a lot of inconsistency on the other side and so you can exploit that right between the cases as appropriate so there is that opportunity. So and I think there is a lot of – the third thing I think is sort of a - it’s a cumulative impact kind of approach, you have – when you have three cases against one party I think the opportunities or settlement rise because it’s not – well it’s in our view it’s never really related to any one case, with any one case only involved in a very small portion of our patent. Even from a timing perspective it’s not all about one case because you got three cases happening right in a row and so that’s a lot of hurdles to clear. So we don’t like to have to approach things as they, we would rather just have dialogs like we had with Sony and do something productive, you need the other party to engage to do that.
Ron Shuttleworth - M Partners: Okay. The last clarification HTC, is that current license include 4G LTE?
Bill Merritt: I think that the minimum products that are LTE based that include a 3G backwards compatible technology which they all do, there would be royalties loaded on that product side, I don’t remember those I believe - I don’t believe the scope of the patents extended to LTE.
Ron Shuttleworth - M Partners: Okay, alright, thanks. I’ll go back in line.
Operator: And we’ll take our next question from (indiscernible) with Stephens Inc. Please go ahead.
Unidentified Analyst: Good morning. This is (indiscernible) standing in for Tim Quillin. Thank you for taking my question. Can you please talk a little bit about your pipeline of potential patent sales and the likelihood of another patent sale this year?
Bill Merritt: Sure. So this - I come back to it, I think that the opportunities break down into two different types, right. So there is a smaller sales right and I’d say there are some meeting the level of opportunity there I wouldn’t say it is a real deep pipeline there I think it reflects the softening in the market I think the other side is more of the sort of patent partnership, patent swap or otherwise moving a set of patent assets outside the company I think there the pipeline of opportunity is a little deeper, but even if it’s not deeper I think is a lot more valuable. So working hard to put something in place something we’re being measured internally on our ability to do that so we are very intended to get that done. So as I said in the script probably in the next in the coming months. We will work to get something in place obviously though making sure and get making sure it’s the right deal.
Unidentified Analyst: Okay, great. Thank you.
Operator: We’ll take our second question from Nicholas Rodelli with CFRA Research. Please go ahead.
Nicholas Rodelli - CFRA Research: Thanks. Good morning. Apart from the litigation InterDigital is directly involved then which hopefully and discussed earlier in the Q&A. Are there other lawsuits involving third-parties for example some of the major smartphone litigation in cases working their way through the system that you’re paying particular attention to? Thank you.
Bill Merritt: Yeah. Well there is a bunch of cases out there that we and the rest of the industry are watching and I would say that the, the general nature of that case is all the same at all involve us friends their regional numbers coming to our and what is means and what remedies are available to focus that, that patents that are considered to be essential. So I would say it is basically three high level venues that we are watching and so we were interested in the space I would watch if I need too. Certainly the ITC has got a couple of cases that moving through there, there is case coming up for decision at the end of May involving Samsung and Apple which this issue in terms of what lease is available for with respect to standards and so patents seems to be becoming a pretty important issue in that case and there is others in the I think the ITC pipeline including ours that will be with that issue. There is a separate case in district courts going on there is one out in Seattle involving I think Microsoft and Motorola. One of the judge I think is working to set a found rate and so there is some interesting in watching that it’s a different I think it’s a different standard but I think that see how we sort of do it about that because it’s a complicated process and sure how that all works up but it certainly interesting for us to watch. And then the world is bigger than the U.S so there is a lot of opportunity, there is lot of things going on overseas and in particular there is cases going on in Germany involving Motorola and other folks addressing the same issues. So it’s an area well there is certain market innovators and folks it’s changing a lot each day and wakes up every morning win new case. So with those and certainly I think that will watching outside of our own cases.
Nicholas Rodelli - CFRA Research: Okay. Great. That’s it. Thanks. That’s helpful. But a quick follow-up if I could to that is that is the kind of the this wall of litigation in the smartphones base it’s working it’s way through the system is that had an impact on negotiations around that asking just perhaps the desire for folks to kind of see how things shake out for making major commitments?. Thank you.
Bill Merritt: Yeah but I think it has I think it’s one of the things the impact is partly dependent and so there are people that negotiate to respect of that all because the economic litigation to that party don’t make any sense. And so you will see all the licensees through and they probably observe what’s going on in the bid but it doesn’t really motivate them. I think then when the states in litigation get higher then the litigation environment becomes a factor for folks. But I don’t think it’s a determining factor. So, as an example we were able to include a very nice deal with Sony bundling the patents with from technology and deal I think is great for both sides. So there are there is probably a group of people that the uncertainty causes them to sort of freeze in their tracks. And most people though I think the important thing to remember and all that is the uncertainties on both sides. And so well there is uncertainty on both sides most the business people don’t most of them and majority of this don’t like uncertainty and when the uncertainty on both sides you try to work out something that remove uncertainty from both sides. So we are seen a little bit of all kinds of behavior right there.
Operator: We’ll take our next question from Ron Shuttleworth with M Partners. Please go ahead.
Ron Shuttleworth - M Partners: Hi folks. Just quickly I forgot to ask Sony I’m just trying to find out. Is it a fixed or per unit license?
Rich Brezski: That’s a fixed license.
Ron Shuttleworth - M Partners: Okay, thank you.
Operator: And we have no further questions at this time.
Patrick Van de Wille - Vice President, Communications and Investor Relations: Okay. Well thanks very much Zack and thanks to all our investors and analysts who are joining us on the call today. As a note we will be sending a number of Investor Events in the next couple of months as well as hosting our own Analyst Day. So we would like you to keep an eye out for some announcements regarding that and also look forward to some invitations. And we are looking forward to meeting some of you in person. Thanks and have a great day.
Operator: Okay. That concludes today’s conference. You may now disconnect and have a wonderful day.